Operator: Good day, and welcome to the AGCO Corporation 2025 Fourth Quarter Earnings Call. All participants will be in a listen-only mode. By pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. In consideration of time, please limit yourself to one question and one follow-up. To ask a question, you may press star then one on your touch-tone phone. To withdraw your question, please press star then two. Please note this event is being recorded. I would now like to turn the conference over to Greg Peterson, AGCO Corporation Head of Investor Relations. Please go ahead.
Greg Peterson: Thanks, and good morning. Welcome to those of you joining us for AGCO Corporation's fourth quarter 2025 earnings call. We will refer to a slide presentation this morning as posted on our website at www.agocorp.com. The non-GAAP measures used in the slide presentation are reconciled to GAAP measures in the appendix of the presentation. We will make forward-looking statements this morning, including statements about our strategic plans and initiatives as well as our financial impacts. Demand, product development, and capital expenditure plans and timing of those plans and our expectations concerning the costs and benefits of those plans and timing of those benefits. We'll also cover future revenue, crop production, farm income, production levels, price levels, margins, earnings, operating income, cash flow, engineering expense, tax rates, and other financial metrics. All of these forward-looking statements are subject to risks that could cause actual results to differ materially from those suggested by the statements. These risks are further described in the safe harbor included on Slide two in the accompanying presentation. Actual results could differ materially from those suggested in these statements. Further information concerning these and other risks is included in AGCO Corporation's filings with the SEC, including its Form 10-K and subsequent Form 10-Q filings. AGCO Corporation disclaims any obligation to update any forward-looking statements except as required by law. We will make a replay of this call available on our corporate website later today. On the call with me this morning is Eric Hansotia, our chairman, president, and chief executive officer as well as Damon Audia, our senior vice president and chief financial officer. With that, Eric, please go ahead.
Eric Hansotia: Thanks, Greg, and good morning to everyone joining us today. We closed the year with another strong quarter, delivering an adjusted operating margin of 10.1%, and fourth quarter net sales of $2.9 billion which were up 1% year over year or up nearly 4% excluding the grain and protein divestiture. EEM continued to be a powerful driver delivering 8% growth and extending its multi-quarter record of strong performance. On a full-year basis, we delivered a 7.7% adjusted operating margin. Adjusted earnings per share were $5.28, on sales of $10.1 billion, reflecting a 13.5% decrease versus 2024, or just 7% excluding the divested grain and protein business. These results highlight the disciplined execution of our global teams driven by our three high-margin growth levers, sustained cost discipline, and the positive impact of our multiyear structural transformation. We operated at intentionally low production levels and despite a soft market environment, that weighed on industry demand, we ended the year with significantly lower company, and dealer inventories compared to 2024 a favorable outcome that strengthens our position and demonstrates meaningful progress. Our adjusted operating margins are among the best in AGCO Corporation's history. And the strongest we've ever delivered at this point in the cycle. We have nearly doubled our adjusted operating margins from prior troughs and are close to prior industry peaks. Clear evidence that AGCO Corporation has structurally changed to a higher performing and more profitable company. I want to thank the AGCO Corporation team for their disciplined commitment and impressive execution throughout the year. Their agility allowed us to maintain solid performance, repeatedly exceed our expectations, and continue advancing our farmer-first priorities. Building on the transformational actions taken in 2024, including the formation of the PTX business, the divestiture of the majority of grain and protein business, 2025 was a year focused on advancing our strategic ambitions in agriculture machinery, and precision ag technology. Our redefined portfolio and focus are where AGCO Corporation wants to be. Poised to continue serving farmers and investors better than anyone else when demand strengthens. Our PTX brand continued to gain significant momentum. During 2025, we introduced 14 new products across the crop cycle. Expanding the industry's most comprehensive retrofit precision ag portfolio. We also made substantial progress expanding our dealer network. Ending the year with more than 70 global PTX Elite dealers, more than doubling the amount from the start of the year. These dealers sell both precision planting and PTX Trimble products, enabling us to broaden product coverage and deepen customer engagement. This independent retrofit network focused on the mixed fleet remains an absolute clear differentiator providing the comprehensive product expertise and the broad equipment compatibility that today's farmers require. These PTX Elite dealers are supported by more than 300 Fent, Massey Ferguson, Valtter equipment dealers. 200 CNH dealers, alongside continued sales to more than 100 OEM customers. This expanding footprint is strengthening our global market presence. Increasing the number of farmers we can reach, with our industry-leading smart farming solutions. Vent delivered a standout year of market performance in almost every region, In North America, we gained large ag market share underscoring the strength of FENT portfolio and the power of our team of experts and dealers. With some of our largest dealers switching to the ideal combine last year, it further emphasized the strength of the Fent full line product offering, and our ability to accelerate our performance when North America large ag begins to recover. Our parts and service business continued to perform well. Across challenging market conditions. The Farmacore model, combined with digital engagement, twenty-four seven online parts access, machine configuration tools, servicing capabilities, and industry-leading parts fill rates, continue to support this high-margin growth lever and drive meaningful progress. Strong execution also drove meaningful cost actions in 2025. Resulting in a $65 million bottom line savings through continued operating efficiency across the organization reflecting a real focus on performance improvement, We anticipate a further $40 to $60 million of incremental savings in 2026. Our overall confidence in the business is reflected in $250 million of share repurchases in the fourth quarter. Part of our $1 billion capital return program announced last year. As we look at 2026, we will continue to navigate a dynamic phase of the industry cycle. Trade patterns and record global crop production continue to compress farm margins. With corn, soybean, and wheat prices near breakeven levels. Despite this environment, our operational discipline positions us well continued progress. Over time, we continue to expect increased adoption of precision ag technologies as farmers constantly look for ways profitably increase yields. Entering 2026, current market conditions continue to moderate demand across most equipment categories. Yet we remain able to advance our technology strategy and expect long-term positive industry progress. Slide four details industry unit retail sales by region for 2025. Industry retail sales across all major regions were lower in 2025 as the market adjusted following several years of elevated demand. In North America, industry retail tractor sales were 10% lower compared to 2024. With larger horsepower categories accounting for a greater portion of the change as the year progressed. Combined unit sales were 27% lower year over year. Current farm income dynamics evolving green export demand, and elevated input costs continue to guide purchasing behavior. Particularly for larger equipment heading into 2026. In Western Europe, industry retail tractor sales were 7% lower than 2024, with most major markets experiencing double-digit percentage movements. Looking at 2026, relatively stable farm income levels and an aging equipment fleet are expected to support industry volumes growing modestly above the 2025 levels. In Brazil, industry retail tractor sales were 2% lower than the prior year. Growth in smaller and midsized equipment partially offset the modernization in larger tractor categories. Crop production remains healthy, and certain trade developments provided opportunities for farmers, demand for larger equipment has not yet shown renewed growth. As in prior cycles, industry demand is expected to recover over time. While farmers are currently prioritizing productivity improvements across their existing fleets, the need to increase yields and meet global agriculture demand remains unchanged. Precision agriculture plays a critical role enabling that productivity, and our award-winning portfolio positions AGCO Corporation well to capitalize on that long-term opportunity. AGCO Corporation's production hours for 2025 are shown on slide five. To ensure year-over-year comparability, grain and protein production hours have been excluded from the 2024 baseline. Fourth quarter production hours were modestly higher, than 2024 as increases in Europe and South America more than offset the significant production declines in North America. For the full year, total production hours were down 12% versus 2024. With North America accounting for the largest portion of that adjustment. Reinforcing our disciplined approach to balancing output, and market needs. For 2026, we expect production hours to be broadly flat year over year. With a modest lift in the first half reflecting easier year-over-year comparisons and a modest decline in the second half. This cadence ensures production remains well aligned with retail demand and supports ongoing dealer inventory normalization. Turning to regional inventories. In Europe, we ended 2025 with dealer inventories at approximately four months of supply. Aligned with our target levels. Being at these inventory levels in our largest and most profitable region is an important positive especially with the industry projected to grow in 2026. In South America, dealer inventories increased to about five months relative to our three-month target. This reflects adjustments to lower forward sales expectations as industry conditions evolved during the fourth quarter. However, year-end dealer inventory units were down modestly from the third quarter levels. In North America, we achieved another quarter of sequential progress in inventory management. Ending the year at seven months of supply compared to eight months at the end of the third quarter. While still above our six-month target, we reduced dealer inventory units by over 9% during the quarter and by more than 30% for the full year. We have significantly strengthened the quality of channel inventory heading into 2026, and we will continue to adjust production to better align dealer inventory levels. Slide six summarizes how our strategy continues to deliver even in a muted demand environment. Over the past several years, we've reshaped AGCO Corporation into a more resilient higher-performing company. One that generates stronger margins at the trough, and greater earnings power through the cycle. The results we delivered in 2025 are clear proof of that. Our three growth levers, high-margin products, technology-driven differentiation, and a world-class aftermarket business, continue to perform well this year. Each of them contributed meaningfully despite the softer industry backdrop. Demonstrating that our model scales regardless of where we are in the cycle. This framework is also what positions us and gives us confidence to consistently deliver mid-cycle adjusted operating margins in the 14 to 15% range. It's a structurally different AGCO Corporation. More focused on innovation, more disciplined on costs and investments, increasingly driven by high-value revenue streams. Finally, the strength of this model supports 75 to 100% free cash flow conversion. That financial capacity allows us to keep investing in innovation, advancing our go-to-market transformation, and returning capital to shareholders. All while maintaining disciplined operational execution. Taken together, these levers explain why AGCO Corporation is executing at a higher level today than ever before at this point in the cycle. And why we're well-positioned to outperform as the cycle normalizes. Slide seven highlights key takeaways from our premier precision ag event. PTX's 2026 winter conference. It's an event that brings together thousands of farmers and dealers on-site and virtually. And this year was the first showing of the full breadth and depth of the PTX portfolio. More than 4,000 farmers most under enormous pressures currently, focused on learning practical solutions and strategies for technologies that can be implemented immediately to improve productivity, efficiency, and returns. A high-value opportunity in today's market environment. As you would expect, the feedback on the event and new product introductions was exceptional. As farmers could clearly see how we were innovating to make them more productive and more profitable. This year, three technologies delivered notable impact. First, Symphony Vision, Our vision-based spray technology uses intelligent cameras to continuously adjust application rates based on weed severity. Delivering a 60% chemical and cost savings. This year, we introduced Symphony Vision Duo, a dual nozzle system that allows farmers to spot spray contact herbicides while simultaneously variable rate applying residuals. Fertilizers, or fungicides a single pass, supporting better input management and higher field efficiency. This is a one-of-a-kind injection system that mixes the solutions not only delivers meaningful cost savings from reduced chemical usage, but also delivers significantly higher uptime for farmers than other systems just can't offer. As with our broader precision planting portfolio, farmers own the technology. With no per acre recurring fees, reinforcing a strong value proposition. Second is AeroTube, a breakthrough seed delivery system designed to improve plant orientation at placement. Conventional systems drop seeds randomly into the furrow. Which can lead to uneven emergence and leaf alignment. Arrow tube places seeds in an optimal orientation while controlling depth, spacing, and singulation. Enabling each plant to capture more sunlight and reach its yield potential. A clear productivity advantage, When you think about the significant yield decline for plants that emerge just 48 hours later than the others, the opportunity is huge for our farmers. Third is PharmEngage. Launched in 2025, our farmer-facing digital platforms integrate machine connectivity agronomic insights, and task management across brands and platforms. PharmEngage brings together functionality from AGCO Connect, and FENT one, and will be included in all model year 2026 FENT and Massey Ferguson machines sold in North America. Serving as a central hub for day-to-day farm operations. Each of these innovations reflect how we listen to the farmer, to understand the issue then deliver practical scalable solutions that address real on-farm needs and help farmers operate with greater productivity efficiency, and profitability. I couldn't be more excited about the portfolio of award-winning products we have for our farmers and I look forward to further introductions later this year I'm even more confident that we will continue to be the most farmer-focused company in the industry offering industry-leading smart farming solutions. With that, turn the call over to Damon to cover the financials in more detail.
Damon Audia: Thank you, Eric. Good morning, everyone. Slide eight provides an overview of regional net sales performance for the fourth quarter and full year. Net sales for the fourth quarter were 3% lower year over year excluding the favorable impact of currency translation. For comparability, we also excluded the $75 million of sales associated with the divested grain and protein business in 2024. Breaking fourth quarter net sales down by region. Europe Middle East net sales were 1% lower than the same period in 2024, excluding currency impacts. Lower sales across many Western European markets were partially offset by growth in Germany and The UK, Lower sales in tractors were partially offset by better performance in hay tools. South America net sales were 9% lower, excluding currency translation. Results reflected moderate industry demand, with reduced sales of tractors and implements offset in part by growth in combines. North American net sales were down 9% excluding currency translation. Results reflected moderated industry demand and our deliberate production discipline to support dealer inventory normalization Lower sales of sprayers and midrange tractors accounted for most of the year-over-year change. Asia Pacific Africa net sales were up 3% excluding currency translation impacts. Higher sales in Australia were partially offset by lower sales across several Asian markets. Finally, consolidated replacement part sales were $440 million in the fourth quarter, up 5% year over year on a reported basis and down 1% excluding favorable currency translation. For the full year, parts revenue was $1.9 billion reflecting 2% growth on a reported basis and flat growth excluding favorable currency effects underscoring the strong value and consistent progress of this important growth driver. Turning to Slide nine. The fourth quarter adjusted operating margin was 10.1%, up 20 basis points from the prior year. The improvement reflects excellent and resilient performance in Europe, Middle East, again this quarter. And consistent discipline across other parts of our business. Margin performance continued to be shaped by factory under absorption and discounting across the industry. Despite that environment, higher sales and production volumes in Europe and our continued cost discipline supported better total company adjusted operating margins during the quarter. By region, Europe Middle East income from operations increased by $57 million compared to 2024, with operating margins approaching 17%. Results were driven by effective pricing execution and a favorable sales mix. North America income from operations decreased by $33 million year over year and operating margin remain below breakeven. The results reflect lower sales volume and factory under absorption associated with reduced production levels of over 50% aligned with dealer inventory normalization representing disciplined management of this business. South America operating income was $21 million lower than the prior year with margins nearing 3%. Reflecting lower sales and higher engineering expense. Asia Pacific Africa delivered relatively flat operating income with operating margins near 8%, supported by effective cost management and lower SG and A expenses. Slide 10 shows our full year free cash flow for 2024 and 2025. As a reminder, free cash flow represents cash provided by or used in operating activities less purchases of property, plant, and equipment. Free cash flow conversion is calculated as free cash flow divided by adjusted net income, offering a clear and consistent measure of performance. We generated record free cash flow of $740 million in 2025. Up more than $440 million versus 2024. This strong improvement was supported by better working capital execution, higher fourth quarter sales and lower capital expenditures year over year reflecting effective operational Our capital allocation priorities remain consistent. Reinvest in the business, maintain our investment-grade credit profile, consider acquisitions where we can accelerate technology adoption, and return capital directly to our shareholders. A framework that continues to deliver favorable long-term outcomes. Following the TAPI resolution last year, we've shifted our philosophy on direct returns to investors with a focus on share repurchases rather than our special variable dividend program. With this focus, we executed a $250 million accelerated share repurchase in 2025, under our $1 billion repurchase authorization demonstrating our commitment to shareholder returns. Given the strong free cash flow generation in 2025, we will evaluate further opportunities during our normal capital allocation review later this year. We also paid a regular quarterly dividend of 29¢ per share throughout the year, totaling approximately $87 million in dividend payments for 2025. Reinforcing a reliable and healthy capital return program. We continue to deploy capital with the discipline to drive long-term shareholder value supported by the increased flexibility afforded by our repurchase program. Slide 11 summarizes our 2026 market outlook across three major regions. For North America, we forecast large ag industry sales down approximately 15% from 2025's already low levels. The USDA's elevated January crop supply estimates resulted in significant declines in commodity prices in both soybean and corn prices remain below the long-term average. Farmers are delaying new equipment purchases due to elevated input costs, and tighter profit margins. The US government's $12 billion farmer bridge assistance program is helping to shore up farmers' balance sheets but it's not translated into new equipment purchases at this time. The North American small tractor segment offers a more positive counterbalance as livestock and hay economics remain comparatively resilient and the older fleet points to emerging replacement opportunities in 2026. We expect smaller tractors to be up modestly. In Western Europe, stability from the subsidy framework provides a solid foundation and offsets softer wheat prices and geopolitical crosscurrents. Early season exports improved. Profitability is expected to rise in '26 and winter seeding conditions have been supportive across many markets. The EU continues to benefit from lower interest rates versus other key ag regions, providing a more favorable operating position. We expect Western European tractor volumes to be up modestly in 2026. Brazil's crop environment remains constructive. Led by a large soybean harvest and healthy export demand. At the same time, interest rates credit availability, corn margins, and weather in select regions will pressure demand in 2026. Our plan assumes relatively flat demand for the year, with some pressure early in the year and a stronger second half due to potentially improved government support. Slide 12 highlights the key assumptions underlying our full-year 2026 outlook. We expect global industry demand to remain relatively flat compared 2025 with the industry increasing from 86% of mid-cycle to around 87% in 2026. Our sales plan assumes share gains, a 2% FX benefit, and between 23% in pricing. At 3%, our pricing is designed to cover material inflation and tariff costs on a dollar basis, but will be margin dilutive even at the high end of the range impacting our 2026 operating margins and our year-over-year incrementals. Dealer destocking advanced in 2025. And we continue to prioritize strong channel alignment in 2026 particularly in North America, reinforcing a disciplined and balanced go-to-market approach. Our guidance reflects current tariff regime and mitigation through cost actions and pricing ensuring a well-managed framework for navigating policy dynamics. We will adjust our outlook if policy actions change. Engineering expense is planned to increase by almost $50 million over year, representing approximately 5% of sales and ensuring an investment level that fuels the flywheel of innovation across the portfolio. As Eric mentioned, we expect further benefits from our restructuring actions of $40 million to $60 million in 2026. Production hours in 'twenty six are expected to be broadly in line with 2025. Maintaining healthy balance between production rates and retail demand to support ongoing inventory discipline. We expect adjusted operating margins between 7.58% reflecting positive structural improvements to the portfolio and benefits from our ongoing cost initiatives, but muted due to the price versus cost and tariff equation this year as well as higher engineering spend. Our effective tax rate is anticipated to be 32 to 34% for 2026. Turning to slide 13 for our 2026 outlook. Our full-year net sales outlook is expected to range from $10.4 billion to $10.7 billion Based on this sales outlook, flat production volumes continued cost discipline and pricing execution we are targeting adjusted earnings per share in the range of $5.5 to $6 This assumes no material changes to existing trade measures. Capital expenditures are estimated to be around $350 million positioning us for future demand inflection while maintaining investment discipline. We continue to target free cash flow conversion of 75% to 100% of adjusted net income supported by strong working capital management and ongoing inventory efficiency. For the 2026, we expect net sales modestly up year over year as we align production with demand and continue to realize the benefits of our cost efficiency initiatives, we anticipate first quarter earnings per share between $0.40 and $0.45 We expect profitability to strengthen as the year progresses reflecting improved absorption, continued operational execution, and the timing of our cost actions. As Eric noted, 2025 performance demonstrates consistent execution on our strategy in a more resilient better-positioned business through the cycle. We are confident in delivering continued progress across net sales, adjusted operating margin and adjusted EPS while navigating the current industry backdrop. With that, I'll turn the call over to the operator to begin the Q&A. Thank you.
Operator: We will now begin the question and answer session. To ask a question, you may press star. Then one on your touch-tone phone. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then 2. Please limit yourself to one question and one follow-up. And the first question today will come from Stephen Volkmann with Jefferies. Please go ahead.
Stephen Volkmann: Great. To think about what you're planning relative to inventories in The U. S. I guess you're still about a month ahead of where you'd like to be. How long does that process take from here? Yeah. Excuse me. Good morning, Steve. So I think as we as you hit on, we we did finish the year a little bit above our six-month target. So we will have some underproduction here likely in the first half of the year in North America trying to right-size the dealer inventories. We'll see how the outlook for the balance of the year goes, but at least right now, I would expect sort of underproduction probably in the around 10% range, give or take. As we continue to rightsize here. Understood. Okay. I think overall that I said in my comments, we did a really good job. We took units down by 9% or so. But just given that twelve-month forward outlook we give you, the months didn't really move materially. They only dropped down one month to despite the 9% reduction in units. Understood. Okay. And then, Damon, you mentioned your prepared comments some discounting, and yet you guys are looking for, I think, 2% or 3% price for '26 Just square those two for me. What what are you seeing in terms of the discounting, and and how do you still get that price?
Damon Audia: Yeah. So, Steve, I think overall, we've seen some competitive pressures especially in certain markets like South America. It was definitely a more aggressive market there. When I look at the the team though, despite that, our fourth quarter came in exceptionally strong. If you may recall, I start at the end of the third quarter call, we guided, I think, price in the range of 0 to 1%. We finished the year just north of 1%. So the team gained share took the took dealer inventories down, and had pricing better than our plan coupled with the volume. So the team's done an exceptional job in managing and selling the value of our products relative to the competition. And so when I look at the pricing that we have carryover this year going into 2026, we have north of 1% of that two to 3% sort of already embedded into our into our base here. So, you know, overall, as we think about the new product introductions coming, what we see in Europe, we we feel comfortable in that two to 3% range to at least start the year.
Operator: The next question will come from Kristen Owen with Oppenheimer. Please go ahead.
Kristen Owen: I wanted to start here with your outlook for Europe I mean that has continued to outperform for you guys. You just give us a sense of what's happening on the ground there? I mean, we've seen a little bit of compression in some of the dairy margins recently. So maybe just give us a sense of farmer sentiment there. What you're seeing in terms of demand, and maybe ask you to double click on on the the pricing acceptance that you're seeing there.
Eric Hansotia: Sure. Yeah. I'll take that one, Kristen. You know, if we take a start like, at the industry to start off with, and one of the things that we watch is average age of the fleet. And it's been climbing steeply in EAM as has it as it's been in North America. But let's stay on EM for now. It's almost back to its record peak age, and that's creating just a lot of pent-up demand for new products. And and as so that's number one. That's kinda where the fleet is. Farmer sentiment is actually relatively positive. We had a far a field tech days this fall. Spent time at Agrotechnica. And the spent time with thousands of farmers at AgriTechnica. The the feedback that we were getting was more positive than we expected. So although the SEMA barometer is kinda just hovering in the same spot, which is one of the prediction models, we're bullish we think the market's gonna be up in in this year. And I think, Kristen, if I go to your other questions here,
Damon Audia: overall, the demand profiles remain relatively strong. Their dealer inventories, as I made on the comments or Eric made, were right around four months. So we're right where we want to be from a dealer inventory standpoint. Pricing in Europe finished the year quite strong. We had over 3% price in Europe in the fourth quarter on top of that strong volume growth with expectations as well. And so we have relatively good carryover going into 2026 in Europe pricing as well. And then you layer on the new product introductions that we showed at AgriTechnica We've got some great new products out there, the FENT 800, is gonna be a hugely successful product coupled with some of the other ones. So again, the European team has continued despite the backdrop here. The European team is continuing to hit on all cylinders doing very well in gaining share holding their margins at exceptionally high levels for us, and gives us a lot of confidence as we as we go into '26 in that market.
Kristen Owen: That's great. Thank you for that color. And then my my follow-up question just is here on the cost savings actions. I think you called out $65 million bottom line benefit in savings in 2025. Another $40 million to $60 million in 'twenty six. Can you just remind us where the big buckets of those cost savings are coming from and maybe tie that back to what you outlined for the 2029 targets, where you're seeing those cost savings come through? Thank you.
Damon Audia: Yeah, sure. Good question, Kristen. And geographically, I would say they're very similar to our revenue split. So we're seeing them across all of our four regions. The the vast majority of this is coming through or in the g and a bucket. So a lot of as AGCO Corporation's a company that had been built through acquisitions, we spent a lot of time in the last couple years really trying to standardize and simplify our processes Once we've done that, how do we move them into lower cost opportunities, either offshoring them to other AGCO Corporation locations or potentially outsourcing them to third-party providers who can do that well for us And so we've seen a lot of savings coming from that shift And at the same time, we've really been trying to leverage artificial intelligence more and more within the company where we can automate those processes streamline that, making it easier for our dealers, easier for our customers, easier for our associates. So we're seeing some good momentum on the AI side of the house as well. By just streamlining the work and moving it into a more advanced product. You're right. We did about $65 million in savings this year. We have another $40 to $60 million in savings coming in 2026. As I've mentioned on some prior calls, given the industry downturn, we've been looking to accelerate some of those cost actions that we saw in '26. Into 2025. Excuse me. And that was part of the benefit that we saw in the fourth quarter. So as I think about where we are at the end of 2025, the run rate savings is about a $190 million. So we're already in line with what we told the investors in December 2024. As to how we would run rate out of 2026. So we pulled some things in. Now we got a lot of that in the fourth quarter, so you're still gonna see the absolute dollars come to the bottom line here in 2026. From a run rate savings, we're already at about $1.90. So we'll probably get a little bit north of that 200 by the '26. So very well positioned for that particular bucket. On delivering to the 14 to 15% adjusted operating margin at mid-cycle that we talked about at our last Investor Day.
Eric Hansotia: Yeah. Maybe I'll just add a little bit on that one. This is Project Reimagine that Damon was describing, and you know, 700 projects that are all managed very tightly going through the stage gates, that's taking out the $200 million in overhead. What's still in front of us is more work left to do on AI. As Damon's talked about. We've got about a 160 agentic AI projects in flight right now, 50 of them completely done. But a lot of them in flight. And then shift to low-cost country. That's still in front of us as well. We're we're aggressively going after that in '26 and '27. Much of our supply base is in high-cost countries. We're we're aggressively moving that. So overhead kinda towards the tail end and very mature, we're going after product cost really aggressively.
Operator: Again, if you have a question, please press star. Then 1. Next question will come from Mig Dobre with Baird. Please go ahead.
Mig Dobre: I I I found your comments on on 2025 being a the biggest year of share gain to be really interesting. And I'm wondering if you can maybe give us a little more context there. As I understood it, it's North America. What's sort of specific to some of the things that you've been doing relative to maybe competitors pulling back from the market if if that at all was a factor. And PTX, you know, can we talk a little bit about how you see that progressing as well? It seems like the market, to some extent, are starting to stabilize here. Do you think PTX can be a source of outgrowth, especially on the retrofitting part the business as we think about '26 and even '27?
Eric Hansotia: Yeah. Thanks, Vic. Few comments. One, overall, AGCO Corporation turned in the highest market share in our history in 2025. And that's global. So all over, when you take a look at where farmers are seeing value, they voted with their their order book to come to AGCO Corporation. What's underneath that? Net promoter score which is our customer feedback to AGCO Corporation, hit its all-time high in '25. So the the the this the perception of the overall value of the product, the dealer performance, the services, the data, management, data platform, all of that is coming together. And and we feel like it's it's, fueled for growth. We had a record patent filing in 2025. So we think we've got a great set of innovations continuing to come through. So that's the macro. Then you drill into North America, it was the largest one-year gain in market share for large ag in in North America. Largely, our portfolio has been what it is. It's it's now working with the dealers. To get the most out of our our partnership with our dealers to serve customers. We've got several focus areas. It's not so much about conquering white space. It's largely about penetrating the space the dealers are already in. And so we've been looking at performance by county and getting a very granular work plan together with our our major dealers and saying, how do we go change how we're how we're, supporting the farmers About 85% of our big dealers now have their have adopted Farmer Core, at least the early phases of it. They're showing where their service trucks are and, doing much more of the work on farm. So you know, that farmer core combined with detailed work with our dealers matched up with a industry-leading product portfolio we think is starting to show the early days. We we also made a bit of an org change to even sharpen our focus on North America. So that's kind of the machinery side of the business. Now if we switch over to 14 product launches. There's essentially an innovation an education side to that business as well. On innovation, we had 14 product launches, way ahead of what we would have expected a year or two ago. The the feedback at winter conferences I talked about, I go to that every single year. Super strong. Some of the best farmers in the world I think it was one of our best winter conferences. So the innovation engine is going strongly. But the the bulk of the work now is is on channel development. And, establishing our our elite dealers, which is those dealers that carry the full product line. They're the tech dealers. They don't sell tractors and combines. They just sell tech. Establishing them, we've grown that to a little over 70 dealers now. We only had about 40 and, we added about 40, yeah, in 2025. So it's a channel story there as well. If you look at retrofit, it only is down about a third as much as the overall market. So our thesis all along about serving farmers serving the mixed fleet, serving every farmer regardless of brand, is playing out. As long as you keep innovating, that that, farmers are thirsty to be whether they're in a peak or a trough market, they're thirsty to be more productive and profitable.
Mig Dobre: Appreciate the color. That was really helpful. And then, I guess my follow-up going going back to EMEA, can you talk a little bit about how how we should think about margins? I mean, margin here in '25 surprised at least relative to our model pretty consistently. Should we be thinking additional margin expansion in '26 especially as maybe volumes here get a little bit better? Thank you. You.
Damon Audia: Yeah. Nick Nick, overall, I think you're gonna see the European margins stay relatively consistent here in 'twenty six versus 2025 on an annual basis. May mix a little bit in quarter depending on production schedules, timing of pricing actions, but but generally speaking, would expect to see Europe right around that percent operating margin where they finished last year.
Operator: The next question will come from Jamie Cook with Truist. Please go ahead.
Jamie Cook: Hi, good morning. Nice quarter. I guess Damon, just two questions. You just answered the question on e margins. Just wondering how we're thinking about margins or sorry, losses in North America in 2026 relative to 2025, given the top line outlook and how where we end up in South America with concerns about some of the discounting I guess then on the positive, I think operating cash flow number, it was very strong in the fourth quarter for the year. So was there anything unusual in that? Is there any reason to believe free cash flow conversion has opportunities to improve from here? Thank you.
Damon Audia: Yeah. Good morning, Jamie. And, I think on on North America, we're as I in one of the earlier questions, we will be underproducing relative to retail in in the first half of the year. So you're gonna see the the North American margins are are gonna be negative likely for the first two to three quarters. A little bit too early to to see how they play out in the fourth quarter right now given the the industry outlook, but I think for us, we'll see Q1 and Q2 will likely be worse than Q1 and Q2 last year given the underproduction and the decline in the large ag market. And then hopefully, we'll start to see the margins improve year over year, but still be down in Q3, which is likely a negative for the full year. So but we'll see how that fourth quarter starts to pan out Fourth quarter free cash flow, again, I so I've said in my comments, just great performance, record free cash flow for the year. A lot of that was to do with the incremental volume that we saw flow through in North America and the significant volume increase we saw in South I'm sorry, in Europe. As you know, Jamie, we sell those receivables to AGCO Corporation Finance so that receivable translates into cash for us very quickly. So great result for us there. As I think about twenty-six, we still feel comfortable in that conversion ratio of 75 to a 100% of of adjusted net income. So we'll stick with that for, for 2026. If I think about working capital, here for '26, again, I expect us to continue to refine our inventory, but we'll see how the build comes up The team has done a really nice job with forecasting, and getting the scheduling in our factories better, helping take out some of that working capital in the system. So I'm hopeful that there's a little bit of a modest improvement in working capital 26 as well.
Eric Hansotia: Thank you.
Operator: The next question will come from Jerry Revich with Wells Fargo. Please go ahead.
Jerry Revich: Yes. Hi. Good morning, everybody. I wonder if we could just talk about your Precision Planting product lines specifically. What kind of demand are you anticipating for this planting season? How does 26 versus 25 look for that product on a retrofit and first fit? Basis, if you mind.
Eric Hansotia: Yeah. We're we're expecting, you know, the market in general to be down in North America as we you know, the overall market kinda moves in the same direction. But we think that there's gonna be enough attention on the retrofit business that it won't move down as much. And there's a lot of interest in AeroTube. That's the new seat placement launch that we had where you it places the seed tip down and at the right orientation. So when it comes out of the ground, it it perfect emergence and the leaves have more capture of sunlight. That's all. That's unique to precision planting. There's nothing else like it in the in the world, and and we think that that's gonna generate a lot of attention. But so is the dual boom spray system. So we we're we're pretty bullish Those two, hardware products combined with our PharmEngage platform we think that there's a lot of interest in the precision planning market. Especially those two are predominantly biggest hits for North America.
Damon Audia: Yeah. And, Jerry, just to put some numbers, I know we've had a couple questions on PTX. So 2025, the PTX team, did an exceptional job. They they hit their numbers. They finished the year right around $860 million. So credit to the team, they were on forecasts or above every quarter, so a little bit better than where we finished 2024. And for 2026, again, Eric alluded to, we do see the retrofit market doing better than the equipment market. And I I would say right now, we see the, the '26 PTX revenue flat to to modestly up versus the $8.60 that they finished, this year here. So good performance by the team and a lot of new products as Eric touched on giving us some good momentum especially on that retrofit channel.
Jerry Revich: Well, that's that's a good year given the backdrop. And in terms of the overall cost structure, obviously, you folks have done a lot of work. Can you talk about any incremental opportunities that you're considering? You know, obviously, the the tariff headwinds are pretty painful. Do we see more potential opportunities if we think about the cost structure exiting '26 versus starting '26?
Damon Audia: I think, Jerry, for us, from the SG and A standpoint, what we've sort of communicated to the here for the 60 for the 40 to 60,000,000 of incremental costs, I think we got fairly really good visibility on that. Eric alluded to more on the cost of goods sold side. And I wouldn't say that's necessarily connected to the tariff environment. But as we think about how do we make ourselves more efficient without compromising to the farmers, we do think there are some opportunities to evaluate our sourcing. Now that may come to certain that may help us from a tariff standpoint, but as we think about that, it's identifying suppliers who can deliver the quality that our farmers demand but doing it in a way that's lower cost for us and really leveraging the economies of scale that we have with our Massey Ferguson and our Vulture brands. Globally globally. And so we see some opportunities for that helping improve the cost of goods sold. And helping position the margins for Massey and Vulture more, especially as these volumes start to pick up hopefully in '27 and beyond.
Operator: The next question will come from Tami Zakaria with JPMorgan. Please go ahead.
Tami Zakaria: Hey. Hey. Good morning. Thank you so much. I wanted to get some color on how you're thinking about operating margins by the different regions. If if you could provide some color there, North America, Brazil, Europe, how to think about you know, as the year progresses, like, first half for back half. So any color you can give on regional margins as it relates to first half and back half would be helpful.
Damon Audia: Yeah. Sure. No worries, Tammy. I think for as Mig asked in the question, I think Europe should stay right around that 15% margin for the full year and similar to what we've seen in the individual quarters. As the other question came up on North America, think you're gonna see North America, let's say, directionally down in a loss position position probably in that sort of high single, low double-digit range for '26 based on the industry forecast. It's gonna be worse year over year in the first half given the industry and the underproduction and then probably a little bit better than what we did last year in the back half of the year. And then South America, that's kind of, as you know, a little bit uncertain right now. Overall, for the full year, I think it'll be our fourth forecast shows it being modestly better versus versus 2025 on a full-year basis. Gonna start worse off because we gotta do some underproduction here. We've gotta get the dealer inventories, and we've got some weaker mix right now and then sort of picking up to be a little bit stronger in the back half of the year given what we saw here in the back half of 2025. So I'd say margins for the full year relatively flat, maybe a little bit above but more of a shift between first and second half, and then Asia being relatively flat relative to last year from an overall margin perspective.
Tami Zakaria: Understood. That's very helpful. And quickly, I think there's been some announcements on Indian tariffs going down. Any any thoughts on whether that could be a tailwind for you And overall, like, could you remind how much of tires and pack is currently baked in so we can kind of keep track if if other tariff rates come down. We can sort of calculate this off with that.
Damon Audia: Yeah. Absolutely. So if we think about the incremental tariff cost that we're gonna to see in our P and L in 2026 versus 'twenty five, and it's just the tariff costs themselves, that's about a $65 million headwind year over year. And if I think about what we incurred in our P and L last year, it was around $40 million So the absolute total tariff cost in '26 will be just around $105,110,000,000. So we've set around 1% of our sales. So that's sort of directionally where we're at. But about 65 of that will be incremental to 2020, to 2025. And that's what's compressing our year over year margins because when you look at our pricing guide of two to 3%, as I said on the call, at 3% when you look at inflation plus tariffs, we're only going to cover that on a dollar basis at the three. So that's actually margin dilutive and if you look at the midpoint of our pricing guide we would actually be negative from an earning standpoint and it would be margin dilutive. So that's sort of what's in the numbers right now. Based on what we know. If what was communicated related to India does come to fruition. Probably not gonna have a big effect on us Tammy. It's a couple it would be a couple million dollars of a positive but not a not a big mover to that $65 million that I just quoted.
Operator: Please go ahead. And the last question today will come from Angel Castillo with Morgan Stanley.
Esther O'Shaneya: Hi. This is Esther O'Shaneya. On for Angel. Congrats on a good quarter. My question is, maybe going back to tariffs, could you maybe give us like kind of the cadence, each quarter going to 2026? Do you see more happening in the first half or second half? Or is it kind of equally, divvied up?
Damon Audia: Yeah. Good morning, Esther. So, overall, given the timing of the tariffs last year, again, as I think about that $65 million incremental, it's going to be heavily weighted here in the first half of the year because if you remember the timing of when tariffs rolled in last year, coupled with the level of inventories that we had and our dealers had we really saw that start to pick up in the third quarter and more into the fourth quarter. So you're sort of looking at probably the majority of that 65 sitting in the first half. And then the balance of it sort of rolling in in the third quarter and then being somewhat neutral in the fourth quarter.
Esther O'Shaneya: Okay. And just a follow-up, are there any limiting factors in your ability to under produce at a greater degree just to kinda fix some of the excess inventory you mentioned in the call today?
Eric Hansotia: So there's no
Damon Audia: there's no inhibitors for us in reducing our production. But I think you have to understand the complexity of a full portfolio And as we talk about the industry, the planter industry, industry is different than the combine industry, which is different than a low horsepower, medium horsepower, high horsepower. So depending on which industry is fluctuating and what that dealer has on his or her yard will influence our production. So we don't have any take or pay contracts with suppliers. We don't have any issues that prohibit us from slowing our production, but it's more as the different types of products have different dynamics that influence them that's what may adjust the inventory or the the, the months on hand that we then have try to adjust.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Eric Hansotia for any closing remarks.
Eric Hansotia: Great. So I just want to thank everybody for joining us today and, some of the really good questions. 2025 reflects a meaningful progress year that we've made in transferring AGCO Corporation. Into a more resilient, better-positioned company We're executing with discipline and focus on what we can control. In a pretty volatile market. And we're always staying focused on our farmer-first strategy, to to that creates purpose for our employees. Our global team delivered a 7.7% adjusted operating margin in 2025. That's a high watermark and notable achievement at this stage of the ag cycle, best we've ever performed at the trough. I'm really appreciative of the commitment and results of our team and our dealer organization. We remain focused on delivering for all stakeholders. For our farmers, our innovation flywheel continues to spin fast. With solutions designed to solve real on-farm problems. We recorded a record net promoter score, and have a record set of patent filings. So farmers like what we've got, and we've got more coming. For shareholders, we exceeded, executed a $250 million accelerated share repurchase in quarter four as part of our $1 billion program, and we're in a new chapter in that regard, with our ability to to do share buybacks. And share buybacks are probably coming more in the future. Because we had a record free cash flow of 07/2025, all-time high mark for for AGCO Corporation. Our 2026 outlook reflects our ability to keep earnings earning the trust of farmers and OEMs. Transforming our dealer network gaining market share, driving our high-margin growth levers, and executing structural changes, and cost initiatives that will position us well for when demand recovers. 2025 was the bottom of the trough and the fleets in our major markets are at the peak of their age. So we expect that the the future looks brighter. Thanks for everybody's participation today.
Operator: Thank you for joining the AGCO Corporation earnings call. The call has concluded. Have a nice day.